Operator: Ladies and gentlemen, thank you for standing by, and welcome to the SJW Group's Second Quarter 2020 Financial Results Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Jim Lynch, Chief Financial Officer. Thank you. Please go ahead.
Jim Lynch: Thank you, operator. Welcome to the second quarter 2020 financial results conference call for SJW Group. I will be presenting today with Eric Thornburg, Chairman of the Board, President and Chief Executive Officer. For those who would like to follow along, slides accompanying our remarks are available on our website at www.sjwgroup.com. Before we begin today's presentation, I would like to remind you that this presentation and related materials posted on our website may contain forward-looking statements. These statements are based on estimates and assumptions made by the company in light of its experience, historical trends, current conditions and expected future developments as well as other factors that the company believes are appropriate under the circumstances. Many factors could cause the company's actual results and performance to differ materially from those expressed or implied by the forward-looking statements. For a description of some of the factors that could cause actual results to be different from statements in this presentation, we refer you to the financial results press release and to our most recent forms 10-K, 10-Q and 8-K filed with the Securities and Exchange Commission, copies of which may be obtained on our website. All forward-looking statements are made as of today, and SJW Group disclaims any duty to update or revise such statements. You will have an opportunity to ask questions at the end of the presentation. As a reminder, this webcast is being recorded an archive of the webcast will be available until October 26, 2020. You can access the press release and the website at our corporate website. I will now turn the call over to Eric.
Eric Thornburg: Thank you, Jim. Welcome, everyone, and thank you for joining us. I am Eric Thornburg and it's my honor to serve as Chairman, President and CEO of SJW Group. The importance of delivering clean, safe and reliable drinking water has never been more evident than now when something is basic as hand washing has become such a critical activity in protecting public health and preventing the further spread of COVID-19. As I was preparing my remarks this week, our New England operations, especially Connecticut was hit with tropical storm Isaias. Despite wide spread power outages across our service towns, we continue to provide uninterrupted water service to all of our customers, which remains during the pandemic. This is a testament to our highly effective planning and capital investment strategy and our dedicated teams who served our customers well throughout the advent. We also thank the commissioners of the Connecticut Public Utilities Regulatory Authority and leadership of the Connecticut Department of Public Health for their support and assistance to prioritize power restoration to our essential facilities during the event. Our 700 plus employees nationwide delivering mission-critical service to the customers and communities that we are privileged to serve. That is not changed because of the pandemic. There is no replacement for clean, safe, tapwater. What has changed is how we do our work. In the early days of the pandemic, we temporarily paused all nonessential fieldwork to assess the risks associated with meter reading, construction and other field operations. Our mission was simple, protect our people, so that they could continue to deliver on our public service mission of delivering life-sustaining water service, protect our customers from the further spread of COVID-19 and protect the company so that we could continue to deliver on our critical public health mission. The vast majority of our office employees continue to work remotely and we anticipate this to continue through at least the third quarter. Our critical field employees returned to work after a thorough review of each task was conducted by our environmental health and safety and operations teams. Extra safety precautions and the use of appropriate PPE were implemented and we continue to follow the guidance of federal and state officials and public health agencies. The leadership team is incredibly proud of our people and the way they responded to the unique challenges during this pandemic finding new ways to work effectively and safely while serving our customers and communities. We've seen tremendous innovation as our teams effectively and efficiently work remotely. We've launched an internal initiative to capture those ideas and processes and we will build on them as we move forward. As an example, our successful work from home program, which launched when we wanted to get our people out of the office because of COVID-19 has enabled us to sign on to the Cut the Commute pledge spearheaded by Santa Clara County in California. For our California employees whose work can be conducted remotely, we've targeted a goal of working online out of the office for 25% of the work week or about five days a month when normal operations resume. This pledge brings several benefits including greater work-life balance for our employees, continued delivery of exceptional service to our customers and enhanced protection for the environment. There've also been some surprising benefits. COVID-19 has given SJW Group and its subsidiaries an opportunity to work shoulder to shoulder virtually of course with a common purpose protecting our employees and public health during the pandemic. Our teams in California, Texas, Connecticut and Maine seize that opportunity, and forced a bond to serve customers, communities and each other now and into the future. This has highlighted the strength of our new team and shown our skills in the respective states complement each other for the benefit of the combined organization. It has accelerated our integration work and built a web of teamwork, knowledge and resource sharing, all across our operations. We've also launched our first nationwide customer satisfaction survey that will allow us to benchmark each of our operations and provide a platform to share successes that will further enhance customer satisfaction across our organization. Regulators in all four of our states where we operate have initiated proceedings or adopted mechanisms that allow us to track and record COVID-19 related expenses and lost revenue for consideration at a future date. Through the second quarter, we have seen no measurable impact on total revenues due to the pandemic. Our account collections while slowing, continue to be strong and we're closely monitoring this now that the federal pandemic unemployment compensation benefit has expired. On the expense side, we're seeing some areas of savings such as travel as areas of incremental costs. We also remain focused on closely tracking our operating results and working with our peers in local and national industry associations, to raise attention to the industry impacts of the pandemic and advocate for further regulatory relief. As we are now part of a larger combined organization, we have the added benefit of weather, economic and regulatory diversity that comes from operating in four states to help mitigate some of the risks. Our response throughout this event has been and will be guided by this fundamental principle. Protect our people, protect public health and exemplify our core values integrity, respect, service, compassion, trust, transparency and teamwork. It has served us well and we will continue to rely on that approach as we move forward. As such we reaffirm our earlier guidance of $1.95 to $2.05 per share in 2020. I'll now turn the call over to Jim who will review our Q2 financial results and after Jim's remarks, I will address other regulatory and business matters. Jim.
Jim Lynch: Thank you, Eric. Our quarterly operating results reflect the second full quarter of combined operations with Connecticut Water Service anchor CTWS and increasing customer usage and authorized rate increases in each of our water divisions. These increases were partially offset by a decrease in the availability of surface water supplies to the dry weather conditions in our Northern California service area this past winter. During our first quarter earnings call, we noted that the CTWS transaction will change the pattern of our future quarterly earnings. Recall that interest on debt and the impact of new shares issued to finance the transaction is being recorded evenly throughout the year. On the other hand CTWS earnings follow a seasonal pattern that is typical for water utilities. While this mismatch will have no impact on annual results, we anticipate it will lead to changes in the pattern of our future quarterly earnings compared to what we experienced prior to the CTWS merger. Second quarter revenue was $147.2 million a $44.2 million increase over reported second quarter of 2019 revenue of $103 million. Net income for the second quarter was $19.7 million or $0.69 per diluted share. This compares with $13.5 million or $0.47 per diluted share for the second quarter of 2019. Diluted earnings per share for the quarter reflects the results of CTWS, which contributed $0.27 per share; increased usage, which contributed $0.24 per share and rate increases, which contributed $0.05 per share. These increases were partially offset by a decrease in California surface water production of $0.19 per share, interest expense on new long-term debt of $0.12 per share and increased production cost of $0.08 per share due to higher customer usage. In addition, in the first half of 2019, we earned interest of $0.06 per share on invested proceeds from our December 2018 equity offering, paid customer rate credit of $0.06 per share related to our 2019 billings settlement with the California Public Utilities Commission or the CPUC and incurred CTWS merger expenses of $0.06 per share. None of this recurred in the first half of 2020. Turning to our comparative analysis for the quarter, our $44.2 million increase in revenue was primarily due to the merger with CTWS, which contributed $32.8 million, increased customer usage, which contributed $8.4 million and we generated $1.6 million in cumulative rate increases. The revenue increase was partially offset by $1.3 million net decrease in California balance in memorandum accounts. In addition we issued $2.2 million in customer credits in the second quarter of 2019 that did not recur in the second quarter of 2020. Water production expenses increased $16.1 million compared to the second quarter of 2019. The increase included $6.9 million related to CTWS sales, $6.7 million for the purchase of additional water supply necessary to supplement the low-volume of Northern California surface water and $2.9 million due to higher customer usage. These increases were partially offset by $1.9 million decrease in California cost recovery balance in memorandum accounts. As stated on our first quarter earnings call, in 2020 we anticipated greater availability of surface water from our Northern California watershed. Through the first two quarters of 2020, we experienced the second lowest rainfall total in the watershed since 2011. Absent additional rainfall, we anticipate 2020 surface water production will be approximately 2.3 billion gallons lower than planned. Incremental cost to supplement this shortfall is approximately $4.2 million per billion gallons. Other operating expenses increased $14.1 million during the second quarter, primarily due to higher depreciation expense of $7.7 million, $4.5 million in new general and administrative expenses and $3.3 million in higher property and other non-income taxes. These increases were primarily a result of the inclusion of CTWS' second-quarter activities. In addition, we experienced a $1.8 million decrease in merger-related expenses. Effective income tax rate for the second quarter was 18% compared to 23% for the second quarter of 2019. The effective tax rate decrease was primarily due to the flow-through impact of certain CTWS tax deductions. Turning to the first six months of 2020, revenue was $263 million or 46% increase over the same period last year. Net income for the first six months of 2020 was $22.1 million or $0.77 per diluted share, compared to $19.4 million or $0.68 per diluted share during the same prior year period. The change in diluted earnings per share for the year was due to many of the same factors noted for the quarter. Higher customer usage in California and Texas contributed $0.42 per share, CTWS results contributed $0.35 per share, rate increases contributed $0.15 per share and savings and merger-related expenses contributed $0.12 per share. These increases were partially offset by a decrease in California surface water production of $0.35 per share, increased production costs due to higher customer usage in California and Texas of $0.33 per share, an interest expense on new long-term debt of $0.26 per share. In addition, in 2019 we earned $0.11 per share of interest income on invested proceeds from our December 2018 equity offering. These proceeds were used at the end of 2019 to partially finance the CTWS transaction. As such, no similar interest income was earned in 2020. Our 2020 first half increase in revenue was primarily due to the merger with CTWS, which contributed $60.2 million, $14.4 million in increased customer usage and $5.1 million in cumulative rate increases. Water production expenses increased $33.1 million in the first half of 2020. The increase was primarily due to $13.1 million in CTWS expenses, $12.1 million from the Northern California surface water decrease and $8.2 million in higher customer usage. These increases were partially offset by $3.4 million decrease in California cost recovery balance in memorandum accounts. Other operating expenses increased $32.1 million in the first half of 2020, primarily due to a $13.9 million increase in depreciation expense, $13.7 million in higher general and administrative expenses and $6.6 million in higher property and other non income taxes. These increases were primarily a result of the inclusion of CTWS year-to-date activities. In addition, we experienced a $4.4 million decrease in merger expenses related to the CTWS transaction. First half 2020 other income and expense included $8.2 million of new interest expense on SJW Group's $510 million senior notes issued in October 2019. In the first half of 2019, other income and expense included $4.2 million of interest income earned on the proceeds of the company's 2018 equity offering. As noted above, no similar income was earned in 2020. Turning to our capital expenditure program, we added $35.8 million in company funded utility plan in the second quarter of 2020 bringing total company funded additions for the first half of the year to $74.1 million. We are on track to add approximately $200 million to utility plan in 2020. Our first half 2020 cash flows from operations decreased approximately $17.4 million over the same period of 2019. The decrease was primarily due to the authorized collection of $20.1 million in balancing the memorandum accounts in 2019, a decrease of $11.8 million due to higher unbilled revenue balances and slower collections from customers during the COVID-19 pandemic. A $5 million upfront payment in connection with our City of Cupertino Service Concession Agreement and $4.4 million -- and a $4.4 million increase in the payment of amounts previously invoiced and accrued. These decreases were partially offset by an $18.1 million increase in net income adjusted for non-cash items and $5.8 million in the net collection of income tax receivables. At the end of the quarter we had $163.3 million available on our bank lines of credit for short-term financing of utility plant additions and operating activities. The average borrowing rate on line of credit advances during the first six months of 2020 was approximately 2%. With that, I will stop and turn the call back over to Eric.
Eric Thornburg: Thank you, Jim. While there are clearly challenges resulting from the pandemic that are affecting businesses across the nation, SJW Group continues to execute on our core growth strategy of investing in high-quality water systems to provide safe and reliable water service to customers and communities and earning a fair return on those investments. Our capital programs continue to be the company's earnings and rate base and ensuring resilient water systems. While there was a temporary pause on some capital work in our operations, work has resumed and projects are well underway in all four states. Specifically in California, we do not anticipate any negative impact and continue to work towards achieving the $320 million three-year capital program authorized in San Jose water's current general rate case. We were actually well ahead of schedule before the shelter in place order was issued in Santa Clara County and we fully expect to deliver the CAPUC approved capital investment level. In Maine, work is underway on our new $50 million Saco River water treatment facility that will replace the current treatment facility, which is more than 130 years old and fits in the floodplain of the river. In fact, just last week, we held a virtual groundbreaking which you can view on Maine water's Facebook page. We also received a final decision for our general rate filing for Maine's Skowhegan division authorizing a $198,000 in revenue out of the $200,000 requested. The case was filed pre-COVID-19 but was completed during the pandemic without delay, demonstrating our constructive relationship with the Maine Public Utilities Commission. The commission's decision called for a phase in of the increase over two years with the company allowed to recover the associated carrying cost. Four additional rate filings for other divisions are scheduled to be filed in Maine before March 01 of 2021. In Connecticut, we expect the public utility regulatory authority to rule in September on our request to merge our Avon Water Company and Heritage Village water companies into Connecticut Water Company. The end result will be a single water utility operation in the state, which will increase efficiency by eliminating duplicate costs for regulatory filings, payroll processing, audits and other expenses, associated with having three separate companies. SJWTX, our Texas water and wastewater utility continues to grow both in customer connections and rate base. Year-to-date we've completed over $10 million of company-funded capital expenditures and accepted more than $5 million of developer-funded extensions, a new record for the company. SJWTX's connections are nearing 19,000 and its growth continues to impress nearly tripling in number since the acquisition in 2006 and reflecting 8% customer growth in the last 12 months. Turning to water supply, all of our subsidiaries have adequate supplies to meet current customer demand. In general, we are seeing higher usage from our residential customers and lower usage among our business customers owing to the pandemic. We are seeing some increases in operating cost to meet the increased demands across all four states. Importantly, our actual sales are tracking nicely versus authorized sales in California. Despite the lower availability of our own surface water, we continue to be able to meet demand through our wholesalers imported and groundwater supplies. As Jim mentioned, we anticipate higher water supply operating costs for our California service area in 2020 and as a result, lowered our 2020 guidance accordingly in Q1. On a positive note, we do not currently expect any further impact beyond the $0.30 reduction to the 2020 earnings per share due to reduced surface water supply availability. SJW Group subsidiaries also continue to execute on our integration plans and deliver the benefits of our transformative combination to all of our customers, communities, employees, the environment and our shareholders. Our internal integration management team has been hard at work to leverage the merger benefits for all of our stakeholders and subsidiaries to drive this forward as a combined company. 2020 continues to be an unpredictable year with unprecedented challenges. Despite the challenges, we continue to invest in our systems and in the health and safety of our people, customers and communities. Our team of employees have clearly demonstrated their passion to serve customers and deliver life-sustaining water service. We honor those on the front line at our company, within our industry and across the globe for their work to deliver this essential service. Lastly, and on behalf of the board, I'd like to extend a warm welcome to our newest board member, Carl Guardino, Carl has been CEO of the Silicon Valley leadership group since 1997 and is a transformational leader in Silicon Valley. His accomplishments are well-known and too long to list. Carl shares the same deep affection for the communities where we all live, work and serve. And with that, I'd like to turn the call back to the operator for questions.
Operator: And your first question comes from the line of Richard Sunderland with JPMorgan.
Richard Sunderland: Starting with the CTWS integration I think you made a reference to an accelerated process out of COVID-19 or some impact there. Can you speak a little bit more to that impact and maybe how the opportunities have changed from where they were a year ago?
Eric Thornburg: It's been nine months since our close and I would emphasize the cultural aspect of the integration as really ahead of schedule. I think most would agree that the cultural integration side of a combination is just super critical to the long-term success of the combination such as this and the fact that we've had this common cause to work together on, I think that's what's really driven forward the cultural integration and alignment across the organization. In terms of the structural integration, it can't be more challenging without the ability to travel and whatnot, but we are delivering our synergies and mitigating increases across a variety of cost dreams including the public company costs and cyber and IT and water treatment chemicals and many other areas you would expect. So we feel like we're really right on track on that front.
Richard Sunderland: And then I believe your GRC filing in California was due last month. So just wanted to check in there of kind of what you see, is the major requests in the upcoming rate case particularly I think you alluded to on one quarter potentially looking to address that water supply issues that are impacting the results this year. Sure thing Richard, I'll make an initial comment and if Jim has anything, he can add, that would be great as well. Richard actually our next general rate case filing is -- the final filing is due on January 04, 2021 and then our next cost to capital proceeding is until March of 2021 and so we have not yet finalized our application that is in process. So really don't have too much that I can comment on yet, but you did put your finger on an issue obviously a great concern of the whole aspect of the cost balancing approach towards our water supply mix. There's also a proposed decision out on another matter that to our surprise and I think the industry's surprise included in a discussion and a resolution on the WRAM that we currently don't enjoy. So we're watching FPD, we're active in providing some commentary to it and we think that own decision will color our approach in our upcoming case. So I'll just ask you to stay tuned on that and I suspect next quarter we can provide some more color.
Operator: Your next question comes from the line of Jonathan Reeder with Wells Fargo.
Jonathan Reeder: So the $0.03 of COVID expenses you singled out, are those that you're tracking them and those memo accounts officially covered but until you actually get it just can't book the offsetting revenues. Is that right?
Jim Lynch: Yeah Jonathan. It's Jim. That's right in at least three of our operating utilities, we have gotten authorization to capture those cost and trackers at this point and in the fourth we've gotten an indication that we should be tracking them so that we have an opportunity to have a discussion with the Commission at a later point in time, but at this point, we are recording the expenses and not recording any associated recovery of those expenses.
Jonathan Reeder: Any updates on the AMI deployment request in California? I think it was a Q4 decision anticipated there, but didn't know where in the docket we were interveners position stuff like that?
Eric Thornburg: Jim I'll start and if you have something to add, please do, but Jonathan that preceding, we feel went very well. We're continuing to work on and we are hoping and would expect a fourth quarter results. We're really pleased with our business case. We think it's exceptional and with state water budgets in 2025 I think there's a clear call for this type of technology and the proceeding was very fact-based and we really sensed that we turned the corner this time and that it was much, much better received and there was interest in engaging in some dialogue around it. So feeling pretty optimistic about it, but still ways to go and we're going to be looking towards a decision in the fourth quarter. Jim, did I miss anything?
Jim Lynch: No I think that's right Eric. In addition to what you discussed we do have ongoing conversations with the advocate in California regarding the program and those have been constructed.
Jonathan Reeder: So in terms of those conversations, is that potentially some that lead to settlement or has the prospect of a settlement kind of passed or were there ever the option for a settlement?
Eric Thornburg: Jonathan, there is -- there deftly still remains opportunity for settlement at least with OPA and of course there are other parties that would be involved including the staff of the PUC and of W-rates and local adequacy groups. So we remain very open to settlement as that can be done and if not, we do think we've laid out a very strong business case and the importance of this further step here. So again we remain optimistic that this time will be different.
Jonathan Reeder: And then I think the plan in Connecticut was about base rate case around midyear. Has that been filed or kind of what's the updated plan there?
Eric Thornburg: Sure. We will be providing further color on that in the third quarter Jonathan. We have not filed yet in Connecticut. We would anticipate filing a probably in the next 6 to 12 months and we're looking forward to getting that accomplished. As you know we had a stay out there that expired on July 1 of this past year. So from this point forward, we're in a position that we could file but of course we want to make sure the timing is just right and our capital program is in a good states and we'll be providing an update in the next quarter.
Jonathan Reeder: And then bouncing back to California, reports about customers receiving abnormally high bills recently, any thoughts might be going on there? I know you’ve had some ongoing issues and disputes in recent years?
Eric Thornburg: Sure. I can definitely there talk about that and turn it over to Jim as well. Basically Jonathan, what occurred was because of the pandemic we put a pause on meter reading. So we estimated bills for a couple of months until we were sure that our employees could be safe out there reading meters and as you would probably know, the methodology for estimating bills is to use the same period a year ago as the basis and so 2019 was kind of a cool wet year. So now that we've been out catching up and actually getting actual meter readings, it's really catching up usage that has actually occurred. We're absolutely sure there's no billing errors or issues. It's just a catch up and our team of customer service reps are really working hard to manage that and help our customers and we have been very clear that we're not exercising any terminations or collection activities. We were willing to work with our customers and enter payment agreements and the like and so I think it's just a byproduct of the pandemic and we're confident that it will be resolved here fairly shortly.
Jonathan Reeder: Yeah Eric I think that cap is really well.
Eric Thornburg: Okay. Yes that might put some additional pressure maybe on like the bad debt expense that you're tracking and stuff like that I guess that stuff hasn’t flowed through the accounts receivable we're not to really do that yet but.
Jim Lynch: So all I'll start Eric and maybe you can play follow-up on some additional information on it. So in California Jonathan, we read the meters or we estimate the meter reads as a case was during the pandemic on a once every two month basis and in Connecticut, we actually built quarterly. And so in our view the pandemic kind of really took effect and hold on our folks with the stay-at-home orders that were issued in late March across the various states that we operate in and so we're just starting to see the impact of the pandemic and the follow-on impacts on the economy and people's ability to pay and also increased usage as it's starting to matriculate through the different meter reading cycles across our different states. So a little too early to see if there's been any kind of significant trend towards activity that are going to lead to higher bad debt. We are seeing as Eric mentioned on the call an increase in our past due 90 days and so we're keeping an eye on that as well as activities at the federal level to either re-up the unemployment insurance program or if not what additional steps they may be taking in order to facilitate folks to pay their essential bills.
Eric Thornburg: The other thing I would supplement to Jim's comments is personally I've just been very, very pleased to by what we've seen in terms of collections. Customers have really honored their part of this and our collection activity has been -- our flow activity has been great. We arrange payment agreements for some customers and I think the longest was reported in our workshop last week was 12 months, but most are two months and so anybody out on a payment challenge, we invite to call and work out the arrangements with us, but as I've said, we've been very, very pleasantly surprised by the collections and cash flow expense very good.
Jonathan Reeder: Great. I appreciate you taking the questions and the additional color and congrats on a clean quarter this time.
Eric Thornburg: Thanks Jonathan.
Operator: [Operator instructions] And there are no further questions at this time. I'll pass the call back to Eric.
Eric Thornburg: Thank you, operator and thanks everyone for your participation in our call today. The SJW Group is a company with a 154-year track record of serving customers, communities and shareholders and this quarter marks the 308 consecutive dividend payment by our company spanning 77 years and our 53 consecutive year increasing that dividend to stockholders and we just have our sincere hope that you and your families remain safe and health during this great challenge of 2020 and again I want to express my profound gratitude to the employees of the SJW Group. Thank you very much.
Operator: Thank you for your participation. This concludes today's conference. You may now disconnect.